Operator: Good morning and welcome to the PennantPark Floating Rate Capital’s Fourth Fiscal Quarter 2018 Earnings Conference Call. Today’s conference is being recorded. At this time, all participants have been placed in a listen-only mode. The call will be open for a question-and-answer session following the speakers’ remarks. [Operator Instructions] It is now my pleasure to turn the call over to Mr. Art Penn, Chairman and Chief Executive Officer of PennantPark Floating Rate Capital. Mr. Penn, you may begin your conference.
Art Penn: Thank you and good morning everyone. I would like to welcome you to PennantPark Floating Rate Capital’s fourth fiscal quarter 2018 earnings conference call. I am joined today by Aviv Efrat, our Chief Financial Officer. Aviv, please start off by disclosing some general conference call information and include the discussion about forward-looking statements.
Aviv Efrat: Thank you, Art. I would like to remind everyone that today’s call is being recorded. Please note that this call is a property of PennantPark Floating Rate Capital and that any unauthorized broadcast of this call in any form is strictly prohibited. Audio replay of the call will be available by using the telephone numbers and PIN provided in our earnings press release as well as on our website I would also like to call your attention to the customary Safe Harbor disclosure on our press release regarding forward-looking information. Today’s conference call may also include forward-looking statements and projections and we ask that you refer to our most recent filings with SEC, for important factors that could cause actual results to differ materially from these projections. We do not undertake to update our forward-looking statements unless required by law. To obtain copies of our latest SEC filings, please visit our website at www.pennantpark.com or call us at 212-905-1000. At this time, I would like to turn the call back to our Chairman and Chief Executive Officer, Art Penn.
Art Penn: Thanks, Aviv. I am going to spend a few minutes discussing financial highlights, followed by discussion of the portfolio, investment activity, the financials, and then open it up for Q&A. For the quarter ended September 30, we invested $202 million in primarily first lien senior secured assets at an average yield of 8.4%. The average yield of new investments has increased during 2018 and has benefited from recent increases in LIBOR. PennantPark Senior Secured Loan Fund or PSSL continued to grow. As of September 30, PSSL owned $425 million diversified pool of 42 names, with an average yield of 7.8%. Again the average yield and PSSL has also benefited from LIBOR increases. Over the last several years, we have substantially grown our platform by adding senior and mid-level investment professionals and regional offices as well as New York. The additional people in offices combined with additional equity and debt capital we have raised, has significantly enhanced our deal flow. This puts us in a position to be both active and selective. The growth is evidence of this enhanced platform. Net investment income was $0.30 per share. Coordinate investment income excluding accrued, but not payable incentive fee was $0.29 per share. Due to the activity level we are seeing, the increase in LIBOR, the growth of PSSL, we are pleased that our current run-rate recurring net investment income covers our dividend. Our earnings stream should have a nice tailwind, based on the continuation of these factors. As of September 30th our spillover was $0.31 per share. With regard to the small business credit availability act, a reminder that our board approved the modified asset coverage that was included in the law reducing asset coverage from 200% to 150% effective April 5th 2019. The company has generated an excellent track record over the last seven and a half years investing in lower risk first lien senior secured floating rate assets. We believe that such assets represent an appropriate risk profile that can be prudently leveraged under the revised statute to provide attractive returns for investors. Our successful operation of PSSL was used today operating at the reduced asset coverage level contemplated by the new law is evidence of this strategy. Post quarter end, we upsized our credit facility to 520 million from 405 million and completed the necessary amendments to enable us to use the flexibility and incremental leverage provided by the Small Business Credit Availability Act, which will enable us to reduce our asset coverage from 200% to 150%. This will result in enhanced profitability while maintaining our prudent debt profile. We are pleased that we received the support of all existing lenders and that we expanded our lender relationships through this credit facility. The support also highlights the confidence they have in our excellent track record. Our primary business of financing middle market financial sponsors has remained robust. We have relationships with about 400 private equity sponsors across the country and elsewhere that we manage from our offices in New York, Los Angeles, Chicago, Houston, and London. We have done business with about 180 sponsors to date, due to the wide funnel of deal flow that we receive relative to the size of our vehicles. We can be extremely selective about what we ultimately invest in. We are only investing in about 2% of the deals that we have shown. We remain primarily focused on long term value and making investments that will perform well over several years and can withstand different business cycles. Our focus continues to be on companies and structures that are more defensive, have low leverage, strong covenants and high returns. We are a first call for middle market financial sponsors management teams and intermediaries, who want consistent and credible capital, as an independent provider free of complex or affiliations, we’ve become a trusted financing partner for our clients. We’re pleased that we’ve been approaching this investing market with substantially more capital resources in order to drive significantly enhanced the self originated deal flow. This enhanced deal flow is meant that we can get more looks and be even more relevant to our borrower clients. Being more relevant means that we can be increasingly selective about which investments we make, as well as giving us the ability to be an important leader in transactions who can drive turns. As a result of our focus on high quality companies, seniority in the capital structure, floating rate assets and continuing diversification, our portfolio is constructed to withstand market and economic volatility. The cash interest coverage ratio, the amount by EBITDA or cash flow exceeds our cash interest expense continued to be a healthy 2.8 times. This provides significant cushion to support stable investment income. Additionally, at cost, the ratio of debt EBTIDA on the overall portfolio was 4.3 times, another indication of prudent risk. In our core market of companies with 15 million to 40 million of EBITDA, our capital is generally important to the borrowers and sponsors and we are still seeing attractive risk reward and receiving covenants, which help protect our capital. Our credit quality since inception over 7 years ago has been excellent. Out of 335 companies in which we have invested since inception, we’ve experienced only five non-accruals. On those five not accruals, we’ve recovered one hundred one cents on the dollar so far. As of September 30th we had no non-accruals on our books. With regard to the economy and the credit cycle, at this point our underlying portfolio indicates a strong U.S. economy and no sign of a recession. Given our long term track record, we believe, we are well positioned to weather different economic scenarios. From an experience standpoint, we are one of the few middle market direct lenders who was in business prior to the global financial crisis and have a strong underwriting track record during that time. Although PFLT was not in existence back then, Pennant Park as an organization was, and was focused primarily on investing in subordinated and mezzanine debt. Prior to the onset of the global financial crisis in September of 2008, we initiated investments which ultimately aggregated $480 million, again primarily on subordinated debt. During the recession, the weighted average EBITDA with those underlying portfolio of companies declined by 7.2% at the trough of the recession. This compares to the average EBITDA decline of the Bloomberg North American High Yield Index of down 42%. As a result, the IRR on those underlying investments was 8%, even though they were down prior to the financial crisis and recession. We are proud of this downside case track record on primarily subordinated debt. In terms of new investments, we had another active quarter investing in attractive risk adjusted returns. Our activity was driven by a mixture of M&A deals, growth financings and refinancing. And virtually all these investments, we’ve known these particular companies for a while, have studied the industries, or have a strong relationship with the sponsor. Let’s walk through some of the highlights. We invested $36 million in the first lien of Integrative Nutrition. The company operates an online school focused on health, wellness and nutrition. Norwest Equity partners is the sponsor. NextiraOne Federal is a systems integrator, a managed service provider focused on the modernization of voice, data, video for the government and defense departments. We purchased 21 million of first lien term loan, Arlington Capital is the sponsor. We purchased 15 million of Pestell Minerals’ first lien term loan. The company is an animal feed ingredient distributor and cat litter manufacturer. Wind Point Partners is the sponsor. Walker Edison Furniture is an e-commerce platform focused on designing and selling ready-to-assemble furniture. We invested 16 million in first lien term loan and another 1.4 million in common equity. J.W. Childs is the sponsor. Turning to the outlook, we believe that 2019 will be active due to both growth and M&A driven financings, due to our strong sourcing network and client relationships. We’re seeing active deal flow. Let me now turn the call over to Aviv, our CFO to take us through the financial results.
Aviv Efrat: Thank you Art. For the quarter ended September 30th 2018, net investment income was $0.30 per share. Core net investment income was $0.29 per share excluding $0.01 per share of accrued but not payable incentive fee. Looking at some of the expense categories, management fees totaled about $4 million. General and administrative expenses totaled about $1.1 million and interest expense totaled about $4.4 million. During the quarter ended September 30th, net unrealized depreciation on investment was about $2.7 million or $0.07 per share. Net realized gain was about $1 million or $0.02 share. Net unrealized depreciation on our credit facility and notes was $1 million or $0.03 per share, and income in excess of dividends was about $1 million or $0.02 per share. Consequently, NAV remained flat at $13.82 per share. Our entire portfolio, our credit facility and notes, our mark-to-market by our Board of Directors each quarter using the exit price provided by an independent valuation firm exchange’s or independent broker dealer quotations when active markets are available, under ASC 820 and 825. In cases where broker dealer quotes are inactive, we use independent valuation firms to value the investments. Our portfolio is highly diversified with 88 companies across 22 different industries, 91% is invested in first lien senior secured debt, 2% in second lien debt, 7% in subordinated debt and equity including 5% in PSSL. Our overall debt portfolio has a weighted average yield of 8.8%. A 100% of that portfolio is floating rate. Now let me turn the call back to Art.
Art Penn: Thanks, Aviv. To conclude, we want to reiterate our mission. Our goal is a steady, stable and protected dividend stream, coupled with the preservation of capital. Everything we do is aligned to that goal. We try to find less risky middle market companies that have high free cash flow conversion. We capture that free cash flow primarily in first lien, senior secured floating rate debt instruments and we pay out those contractual cash flows in the form of dividends to our shareholders. In closing, I’d like to thank our extremely talented team of professionals for their commitment and dedication. Thank you all for your time today and for your investment and confidence in us. That concludes our remarks. At this time, I would like to open up the call to questions.
Operator: Thank you. [Operator Instructions] We can now take our first question from Ryan Lynch from KBW. Please go ahead, your line is open.
Ryan Lynch: Hey, good morning. Thanks for taking my questions. Art, one of the things you mentioned was that your portfolio and earnings continue to benefit from rising LIBOR. As LIBOR continues to rise as obviously you continue tailwind for your portfolio and your earnings. But that does come as a result and really at the cost of higher interest rates to your existing borrowers, and as LIBOR continues to rise, that could potentially be a headwind to them. So can you maybe just provide a little color on how your borrowers or portfolio companies are performing with your rising LIBOR, how our revenue EBITDA trends seeking, are they able to keep up with that? Just a little color on that would be helpful.
Art Penn: Hi, there. And that’s certainly a great question, and Ryan that’swhen we underwrite deals these days, new deals we certainly even more so are taking in that rise in LIBOR into account in terms of the cushion, that these companies might have to pay us back. As we said earlier, the average EBITDA, the interest as of 930 was 2.8 times, EBITDA the interest which does imply there’s quite substantial cushion in the portfolio for these companies to pay for higher rates. But it’s something that we have to monitor and something that I think borrowers are going to be more sensitive to as LIBOR moves up. I mean, we haven’t really been thinking about it for I guess nearly a decade, when LIBOR kind of plummeted down to nearly zero. But it’s certainly an issue we’re seeing that the Fed’s been increasing rates and we try to maintain being well on top of it, but 2.8 times as a general proposition, we feel really good about the portfolio’s ability, the underlying company’s ability to pay us back.
Ryan Lynch: Okay, that’s helpful. And as far as kind of as we look, as your leverage goes back in April of 2019, the higher leverage. First off, congratulations on getting the facility upsized and amended to kind of clear the runways of that. As we kind of look out to that date, do you guys anticipate now that the credit facility has been amended, and you guys have a clear path of when you guys are going to be able to access additional leverage above one-to-one. Is it fair to assume that you guys are willing to kind of run that portfolio closer and keep ramping that portfolio up to close to that one to one presuming, there’s quality deals in the market to originate?
Art Penn: Yes, Ryan that’s accurate. We’ve – we’ve stated publicly now for eight or nine years ever since the potential legislation was initiated, that we do believe that quality first line collateral can be leveraged safely and prudently more than 1 to 1. Certainly, we’re doing it in our PSSL joint venture with Kemper. Certainly in the marketplace there is a middle market, CLO is their leverage, equity five or six to one. We don't -- we would not do that here for sure, but we do think it is prudent over time to be able to leverage this collateral over one to one. So we’re going to -- we haven't stated any guideposts or said here's what we're targeting at this point. I think we just want to organically assess the deal flow that is coming in. Most importantly number one, and organically grow into things, and see where it takes us, but it is certainly nice to have the amended and upsized credit facility.
Ryan Lynch: Okay. Those were all my questions. I appreciate the time today.
Art Penn: Thanks, Ryan.
Operator: Thank you. We can now take our next question from Chris York from JMP Securities, apologies. Thank you.
Thomas Wenk: Good morning, guys. Thomas Wenk here in for Chris York. Thanks for taking my questions. With the additional leverage choosing with the additional leverage capacity, created by the SBCAA, some BDCs are considering the consolidation of off balance sheet joint ventures. Could you guys share with us your level of interest or general thoughts about consolidation of the JV?
Art Penn: Yes, so it’s interesting. We started the JV and then upsized it significantly right before the law changed. We really like this partnership with Kemper. They've been terrific partners. It’s working well. Our goal for now is to just ramp it up. I think it’s got little over $600 million of capacity. So our goal is really to ramp it up and get it in really good shape. And then of course we’ll talk to Kemper and see what their interest is and what they like to do and what we’d like to do at PFLT. But it's been certainly helpful to be able to get greater health to help our borrower clients. And the returns are really ramping nicely. The portfolio is very strong and the returns are very attractive to both us and Kemper, and at this point we have nothing to announce or say about other than steady issue goes, we're going to ramp up the portfolio.
Thomas Wenk: Understood. That’s helpful. Thank you. Pivoting little bit to the topic of second lien. Have you had any turn off any distributions from any advisers in your investment portfolio to second lien lenders that maybe behind your position?
Art Penn: Thomas, I'm not sure I understand your question, that we -- have reduced our second lien position or what’s your question?
Thomas Wenk: Yes.
Art Penn: Yes. Overtime I think the second lien portion of the portfolio will continue to roll off, in essence we believe the joint venture of the PSSL or if we do end up having more leverage, that's where we'll get the extra return in the portfolio versus needing to buy second lien. So I think over time PFLT and PSSL will focused primarily on first lien senior secured.
Thomas Wenk: Understood. Okay. Thanks very much. That’s it from me today.
Art Penn: Thanks Thomas.
Operator: Thank you. We can now take our next question from Mickey Schleien from Ladenburg. Please go ahead.
Mickey Schleien: Yes. Good morning, everyone. Art, I just wanted to step back and ask you to refresh our memories on at a high level, what is the portfolios average EBITDA in terms of the borrowers. The average leverage and the average amount of sponsorship. Just trying to gauge sort of risk level?
Art Penn: Yes. It’s a great question. So average debt-to-EBITDA is 4.3 times as we stated, sponsors are probably 90%, sponsors deals are probably 90% of the portfolio and that’s going up. We do like having substantial cushion beneath us. I’d say average loan-to-value these days are about 50%. One thing we’ve seen is private equity sponsors have not been shy about plowing equity in this more so than any other time in the market, so we’re getting really nice loan to value. And what that means, number one, we had good cushion and number two, should there be a bump now more likely to add equity capital to solve the problem if there is a bump in the road. And then the third question is on the average EBITDA. Look, we’re seeing the best opportunity today is below the threshold of the broadly syndicated market. Today that means $40 million $50 million EBITDA Company’s can access the broadly syndicated market. Those deals in this market are unfortunately covenant light. So what our focus is on generally 15 to 40 of EBITDA which is below the threshold of the broadly syndicated market where our capital is important, where we can negotiate covenants, in almost all cases we get covenants in our deals that protect us where our capital is important and where we can negotiate at attractive terms. So 15 to 40 is the range I’d say, we had to pick the median, it’s probably 25 million, it’s probably the median EBITDA of the PFLT portfolio.
Mickey Schleien: That’s really helpful. So, in terms of managing risk, Art, over the last 12 months this Company’s investments grew almost 50%. So has that growth been in that sort of sweet spot that you just mentioned where you're allowed to get the covenants in terms that you're looking for?
Art Penn: Yes. What’s happened and we alluded to this in the call. Over the last several years we’ve really added feet on the street. We have these offices in Los Angeles, Houston, Chicago, London, we beefed up New York. And this is a business that you don't originate through social media or Instagram. You need feet on the street. You need to go knock on doors. Your need to develop relationships, and what that is done is we've enhanced the number of relationships that we've had, a number of looks, which allows us to be increasingly selective about what deals we do. So I just articulated kind of where our sweet spot is the 15 to 40 of EBITDA where there is a relationship where our capital is important, where we do have covenants and these deals have been originated by this excellent senior team that has been here for a long time and then the add-on senior folks we’ve added over the last few years. So, we’re very pleased with the flow that we’re getting, we’re pleased with our people, and we’re pleased with the relationships that we’re developing.
Mickey Schleien: And would it be fair to say that your close rate probably declined over the last 12 months?
Art Penn: Yes. I mean, the number of actual investments versus looks has gone down. So as we've invested in the infrastructure and platform which allows us to be increasingly selective and increasingly move up capital structure. Look, I feel really good about portfolio and average debt of EBITDA 4.3 times, average yields are kind of around 8% today which is a still among the lowest yield I think in the BDC space. If you look up PFLT it’s probably got the lowest yield than the BDC space, which indicates among the lowest risk. And we think the expenses and the expense base and the efficiency ratios are among the most attractive as well. So, we think this kind of vehicles well set up particularly in this environment to do very well. And then obviously 100% of the assets are floating-rate.
Mickey Schleien: I understand. And one sort of housekeeping question I’ll finish. Could you just give us what the main drivers were of the realized and unrealized losses this quarter?
Art Penn: Let’s see if we can give you something, off the top of our head and we may need to circle back, but I’m looking at what have we said in his reported comments that we did have realized gain. We had some unrealized appreciation on our credit facility notes which helps NAV and those were the elements. In terms of the biggest movers, let’s see here, that’s largest investment changes, I mean, there weren’t really – there wasn’t really anything to speak up in terms of any particular investment change that was unrealized in the PFLT portfolio other than Montreign, I’ll point out Montreign which is the Resorts World casino up in the Catskills, which as has had a slower ramp than expected since quarter end and this was actually announced yesterday before. The sponsor has been agreed to inject more junior capital to sponsors, KT Lim, who is a global gaming entrepreneur at Malaysia. So these sponsors agreed to put in about 130 million more of equity and also that company cut a deal to do betting which it helps. So if you look at the stock of the underlying company its up quite substantially and in fact the level of the quote on the paper is up substantially since those announcements, but Montreign was the big, at least temporarily unrealized mover in the quarter.
Mickey Schleien: Okay. That’s helpful. That’s it from me. I appreciate your time, Art. Thank you.
Art Penn: Thanks, Mickey.
Operator: Thank you. [Operator Instructions] We can now take our next question from Ray Cheesman from Anfield Capital. Please go ahead.
Ray Cheesman: Art, I was wondering with the recent change in the makeup of the House of Representatives in Washington and some pronouncements from the person who's going to be in charge of the banking committee going forward that the days of regulation softening are over and the days of regulation stiffening are coming. If you -- there's been a lot of capital piling into your space may be the future is actually an odd way brighter than maybe to some people won't be allowed in or maybe some people will be knocked on the head that giving away cheap money with no covenants is a stupid idea long-term. I mean, I'm just wondering do you think that the environment changes during the next two to four years.
Art Penn: It’s interesting, Ray, and it’s a great question. We certainly don’t know and we have – one thing we don’t know is how to analyze the shifting political winds in Washington DC. We haven’t seen banks as competitors to us. Whether it was one administration or the other, one Congress or the other, we don’t see banks. We have seen banks being lenders to us. And banks in all these environments have been nice lenders. If you look at what we just did with PFLT in the credit facility, banks really like to lend to these types of assets that we had at PFLT, so that’s been nice and you can use all kinds of technologies that will give a shout-out to Golub Capital, just got a nice new action relief on using securitization CLO, CLO technology which is very applicable to BDC, certainly very applicable to PFLT and could make capital even more efficiently come to BDC, such as PFLT. So, that was move out of the SEC that our colleagues at Golub got through which should be very helpful to PFLT and other BDCs over time.
Ray Cheesman: Thank you very much for a good quarter. Hope it keeps going.
Aviv Efrat: Thank you, sir.
Art Penn: Thank you, sir.
Operator: Thank you. That will conclude the Q&A session for today’s call. I’d like to turn the call back over to Mr. Penn for any additional or closing remarks.
Art Penn: I just want to thanks everybody for participating today and your interest in PFLT. We look forward to speaking to you next quarter, which will be in early February. In the meantime have a great holiday season and happy New Year.
Operator: Thank you. That will conclude today’s conference call. Thank you for your participation. Ladies and gentlemen you may now disconnect.